Operator: Good evening, ladies and gentlemen. Thank you for standing by. Welcome to the NetEase.com fourth quarter 2007 earnings conference call. (Operator Instructions) I would now like to turn the conference over to Brandi Piacente, Investor Relations for NetEase. Please go ahead, Madam.
Brandi Piacente: Thank you, Operator. Please note that the discussion today will contain forward-looking statements relating to future performance of the company and are intended to qualify for the Safe Harbor from liability as established by the U.S. Private Securities Litigation Reform Act. Such statements are not guarantees of future performance and are subject to certain risks, uncertainties, assumptions and other factors. Some of these risks are beyond the company’s control and could cause actual results to differ materially from those mentioned in today’s press release and this discussion. A general discussion of the risk factors that could affect NetEase's business and financial results is included in certain filings of the company with the Securities and Exchange Commission, including its annual report on Form 20-F. The company does not undertake any obligation to update this forward-looking information except as required by law. As a reminder, this conference is being recorded. In addition, a webcast replay of this conference call will be available on the NetEase corporate website at corp.netease.com. I will now turn the conference call over to Michael Tong, Co-Chief Operating Officer, who will read the prepared remarks on behalf of Mr. William Ding, Chief Executive Officer of NetEase.
Michael Tong: Thank you, Brandi. Thanks, everyone for joining us. Total revenues for the fourth quarter were $85.3 million, compared to $78.3 million for the third quarter of 2007 and $74.1 million for the fourth quarter of 2006. Online game revenues were $69.5 million for the fourth quarter, compared to $64.2 million for the third quarter of 2007 and $61.9 million for the fourth quarter of 2006. As fiscal 2007 drew to a close, PCUs for Fantasy Westward Journey hit an all-time high allowing us to conclude the year on a decidedly positive note. Following the launch of our newest expansion pack for Fantasy Westward Journey in late September, fourth quarter PCUs and ACUs for Fantasy Westward Journey hit a record setting 1.5 million and 515,000 respectively, which compares to 1.44 million and 517,000 respectively in the third quarter. We will continue to build on this momentum by incorporating future expansion packs that suit our players’ needs. During the fourth quarter, we continued to expand our research and development for new games, including fee-based and item-based games. As you know, at the end of the third quarter Westward Journey III, the upgraded version of Westward Journey II, was commercialized. We are continuing to implement ways to enhance the appeal of this game to our players. During the first quarter of 2008, we expect to release additional features of Westward Journey III and are confident that this will further enhance the game’s appeal to its existing and new players. We also plan to release an expansion pack for Westward Journey II in the third quarter of 2008. For the fourth quarter, PCUs and ACUs for Westward Journey Online II were 387,000 and 134,000 respectively, compared with 305,000 and 124,000 respectively for the third quarter. In other games, we are on track for our upcoming closed beta testing for Tianxia II during the first quarter of this year and expect that closed beta testing for Fly for Fun and Datang II will begin in the second quarter. Diversification in our product offerings, including an intensified focus on item-based games and exploration of strategic license opportunities will allow us to attract a larger array of game players and help to further solidify our lead in the Chinese MMORPG market into 2008 and beyond. This continues to be our primary focus -- our continued market leadership through anticipating and addressing the ever-changing dynamics of the Chinese gaming markets. Our free e-mail service continues to lead the Chinese e-mail markets and advertisers have the opportunity to tap into one of the largest and fastest-growing user bases in China today. With the successful integration of our improved content with our e-mail and blog services, we are continuing to retain and grow traffic while providing a solid platform to build advertising revenues. We will seek to continue to expand our content and enhance our e-mail and blog services in order to grow premium ad space for our Internet advertisers. Overall, we achieved solid growth in our advertising services during the fourth quarter, which brought in revenues of $13.4 million for the fourth quarter of 2007 compared to $11.7 million for the previous quarter and $9.9 million for the fourth quarter of 2006. Lastly, since our last conference call, we have continued to develop and enhance our search engine. Since the public launch of Yodao and related search products in early December, users have welcomed our improved search quality and enhanced user interface. We have observed a steady increase in the usage of the new search service compared to the previous search service. The Chinese search market is a very dynamic one and users expectations about what makes a good search engine are constantly rising. Therefore, we ultimately are trying to meet and exceed market expectations. We clearly have a successful and proven track record in product and user experience designed for Chinese users and we plan to leverage our expertise in these areas and our valuable web property assets to develop an industry-leading search engine. With that, I would like to turn the call over to Onward Choi for his review of our fourth quarter and fiscal year 2007 financial results.
Onward Choi: Thank you, Michael. I will now provide an overview of our fourth quarter and fiscal year financial highlights using numbers and percentages based on U.S. dollars. In order to avoid repetition, my remarks will be focused on the discussions of margin and expense fluctuations, along with net profits. Starting with the fourth quarter results, gross profit was $66.9 million compared to $60.6 million in the preceding quarter and $62.6 million for the same period in 2006. Both the quarter-over-quarter and year-over-year increase in gross profit was primarily due to higher game and advertising service revenue. Gross margin for the online game business for the fourth quarter of 2007 was 90.7%, compared to 89.4% and 90.3% for the preceding quarter and the fourth quarter of 2006 respectively. The quarter-over-quarter increase was primarily due to higher game revenues reported for the fourth quarter of 2007. Gross margin for the advertising business for the fourth quarter of 2007 was 52%, compared to 54% and 50.5% for the preceding quarter and the fourth quarter of 2006 respectively. The quarter-over-quarter decrease was primarily driven by higher staff related accounting costs during the fourth quarter of 2007. The year-over-year increase was primarily attributable to higher revenues reported for the fourth quarter of 2007.  Gross loss margin for the wireless value-added services and others business for the fourth quarter of 2007 was 19.5%, compared to gross loss margin of 33.3% and gross loss margin of 18.9% for the preceding quarter and the fourth quarter of 2006 respectively. The quarter-over-quarter decrease was primarily due to the continued rationalization of operational costs associated with the company’s wireless value-added services business in the fourth quarter of 2007. Total operating expenses for the fourth quarter of 2007 were $21 million compared to $24.5 million and $17 million for the preceding quarter and the fourth quarter of 2006 respectively. The quarter-over-quarter decrease was primarily driven by increased spending on the advertising and marketing promotions of Westward Journey III and Fantasy Westward Journey during the third quarter of 2007. The year-over-year increase was mainly due to higher marketing spending to promote Westward Journey III and Fantasy Westward Journey, and high staff related costs as a result of an increase in research and development headcount during the fourth quarter of 2007. Net profit for the fourth quarter of 2007 totaled $53.4 million compared to $35.7 million and $43.9 million for the preceding quarter and the fourth quarter of 2006 respectively. In December 2007, the company received a reinvestment incentive tax refund of $4.1 million, which has reduced the company's income tax expense for the fourth quarter of 2007. In addition, new corporate income tax laws went into effect as of January 1, 2008, which unifies the tax range generally applicable to domestic and foreign investor enterprises in China. As the Chinese tax authorities have not yet announced detailed regulations on the applicable requirements and procedures to apply for preferential tax treatment as a high and new technology enterprise and the continued application of a preferential tax rate for the advanced technology enterprise, such as those that have been enjoyed by certain PRC subsidiaries of the Company through 2007, the company is required under applicable accounting standards to report its deferred tax assets as of December 31, 2007 at the new statutory income tax rate of 25%. The reporting of deferred tax assets at the new statutory income tax rate resulted in a tax benefit of approximately $5.8 million for the fourth quarter of 2007. It is expected that the company will report a higher tax charge in future quarters if and when confirmation is received from the Chinese tax authorities that such preferential tax treatments will be allowed to continue for the relevant terms, as a result of a reduction to the deferred tax assets to reflect the lower preferred tax rates. NetEase reported basic and diluted earnings per American depositary share, or ADS, of $0.44 and $0.41 for the fourth quarter of 2007 respectively. The company reported basic and diluted earnings per ADS of $0.29 and $0.27 and $0.35 and $0.32 for the preceding quarter and the fourth quarter of 2006 respectively. As of December 31, 2007, our total cash and time deposit balance was $517.1 million, compared to $539.8 million as of December 31, 2006 respectively. In December 2007, we entered into an agreement with the bank to cancel our revolving loan facilities, which was taken out to enable the company, at our own discretion, to fund any redemption requests made by the holders of our zero coupon convertible subordinated notes in accordance with the terms of those notes during a period from May 17, 2007 to July 31, 2008. As a result of the termination of the loan facility, the restriction on the company's cash balance was removed on December 31, 2007. Cash flow generated from operating activities was approximately $58.5 million for the fourth quarter of 2007, compared to $46.5 million and $72.9 million for the preceding quarter and the fourth quarter of 2006 respectively. I would now like to take a few moments to review the fiscal year results. Total revenues for fiscal year 2007 were $316.1 million compared to $304.0 million for the preceding year. Revenues from online games were $264.9 million for fiscal 2007, compared to $254.4 million in the prior year period. Revenues from advertising services were $41.8 million for fiscal 2007 compared to $39.2 million for the preceding fiscal year. Revenues from wireless value-added services and others were $9.3 million for fiscal 2007, compared to $10.3 million for the prior year period. Gross profit for fiscal 2007 was $246.5 million compared to $244.4 million for the preceding fiscal year. The increased gross profits for fiscal year 2007 were primarily due to the growth in revenues reported for Fantasy Westward Journey, with an all-time high peak concurrent users numbers achieved in fiscal 2007. Total operating expenses for fiscal 2007 were $81.2 million compared to $69 million for the preceding fiscal year. Higher operating expenses for fiscal 2007 were primarily due to increased marketing costs incurred for the promotions of Westward Journey III and Fantasy Westward Journey, and an increase in staff-related costs incurred for the games research and development team resulting from an increase in headcount. Net profit for fiscal 2007 totaled $173.3 million compared to $170.4 million for the preceding fiscal year. In 2007, the company received reinvestment incentive tax refunds of $7.5 million, which reduced the company's income tax expense for fiscal 2007. In addition, as mentioned above, the reporting of deferred tax assets at the new statutory income tax rate resulted in a tax benefit of approximately $5.8 million for the fourth quarter of 2007. NetEase reported basic and diluted earnings per ADS of $1.40 and $1.31 for fiscal 2007 respectively. The company reported basic and diluted earnings per ADS of $1.32 and $1.22 for the preceding fiscal year respectively. Lastly, on July 2, 2007, the board authorized a share repurchase program of up to $120 million of the NetEase's outstanding ADSs. As of December 31, 2007, we had spent in aggregate a total purchase consideration of approximately $35.7 million, including transaction costs. The share repurchase program will end on July 1, 2008. Thank you for your attention. We will now be happy to take your questions. Operator, please go ahead.
Operator: (Operator Instructions) Our first question comes from Richard Ji with Morgan Stanley. Please go ahead.
Richard Ji - Morgan Stanley: Congratulations on the strong quarter and I have two questions. Let me start with the first question on the new [inaudible], and especially I am very curious about your licensing opportunity in the free-to-play game pipeline. Can you help us to understand a little better about the timeline and also the pipeline better? Thank you.
Michael Tong: Sure, of course. On the licensed game, actually we don’t have much to comment. The only thing I would say is that we do not have anything that we can disclose or anything that we have [inked] in with any of our potential partners. We continue to discuss with several potential partners, which we believe is very possible that we will be able to license games. But there is nothing that we can disclose as yet. We have continued to work hard. And on the free-to-play games, we have a few titles this year on 2008, which includes of course the upcoming one is Tianxia II, which we believe the closed beta is coming out within the first quarter of this year, which is only about within a month. And then we are going to have Datang II and Fly for Fun, which are both free-to-play titles that we believe to be -- have the open beta within the second quarter of ’08 and at the same time, we are going to have a separate version of Westward Journey III, which is a free item-based title as well, which is going to be the latter part of this year. And that’s -- and several other casual games that those are not so material and we don’t provide a timeline for those yet.
Richard Ji - Morgan Stanley: Thank you, Michael. And my follow-up question is regarding your online advertising service. Obviously it has been quite strong over the past quarter. On my calculation, and you guys have been outpacing SINA and Sohu in terms of advertising growth two quarters in a row and obviously there’s a small base effect for your company, but other than that, can you shed some light on the new advertising service or any new content that you are putting that helped to boost the advertising sales? 
Michael Tong: Yes, of course. I would say that it’s a combination of -- yes, you are right that on a quarter to quarter growth basis, we have outpaced our competitors, SINA and Sohu. On a quarter to quarter basis, we have grown our advertising income quarter to quarter by I think it’s around 15%. And bear in mind that on a year-to-year basis, the branded advertising actually went up by 44% in this quarter. Because if you look at the overall advertising income, it went up by I believe it’s around 36%. That is actually a result of our search advertising, which we have a small amount of income in the fourth quarter of ’06 and where we don’t have any income on the fourth quarter of ’07. So the growth of the branded advertising is actually higher than that, of the advertising income growth being shown on the financial results. But anyway, the point is I think it’s a combination of continued improved content and continued education of the market that is one of the most influential portal in the market, especially where we have both financial media with the new finance, entertainment, sports content and at the same time we have a very interactive platform with our users that combines our blog services and e-mail, et cetera. We will continue to build on that and we believe that we will continue to have strong advertising business.
Richard Ji - Morgan Stanley: Thank you, Michael.
Operator: Thank you. Our next question comes from James Mitchell with Goldman Sachs. Please go ahead.
James Mitchell - Goldman Sachs: This is a kind of detailed question so I apologize but can you just give us the average users for Westward Journey III in the quarter? And I wanted to check on Fantasy Westward Journey, I’m a little bit deaf -- did you say that it was 515,000 average users or 550,000 average users for the quarter?
Michael Tong: Okay, let me explain this. The average concurrent users of -- let me put it this way. On the Westward Journey III first, peak concurrent users for Q3 was 213,000; peak concurrent users for Q4 was 163,000; peak concurrent -- average concurrent users for Q3 were 106,00 and for Q4 was 53,000. But please bear in mind that in Q3, the peak concurrent users was reached when the game was free of charge and in open beta mode and so was the average concurrent users I think is the average of the whole quarter, which includes probably the three, you know, the beta, the open beta, and the commercialized period. So that’s the numbers for Westward Journey III. And for Westward Journey II, the ACUs -- sorry, for Westward Journey II, the ACUs were 124,000 for Q3 and 133,000 for Q4. So largely on the numbers, the detail on the numbers --
James Mitchell - Goldman Sachs: Yeah, I actually had a note in my model that might be wrong that you had 47,000 average users for Westward Journey III in the third quarter after you started charging, so I should really be comparing the 53,000 as being up on the 47,000 when you were charging, I guess, rather than down --
Michael Tong: I don’t have -- the 47,000 numbers on my mind but I can double-check on that but I think yes, it is correct that you cannot -- it would be misleading to compare --
James Mitchell - Goldman Sachs: It would be apples to oranges, yeah.
Michael Tong: -- to 53, but I can make a note on this, if you look at this this way on the revenue side. On the revenue side, if you remember in the last quarter when we reported $7.2 million, around $7.2 million for the Westward Journey III, which is around 18 or 20 days of commercialization of the period of we received the revenues. And if you try to quarterlize that and compare that with this quarter, we have around $33 million revenue for the quarter four for Westward Journey III, which is -- and you compare that with quarter three and quarterlize it, then I think it will show something kind of flat, a flat quarter for the revenue of Westward Journey III.
James Mitchell - Goldman Sachs: Got it. And then for Fantasy Westward Journey, it was probably 515,000, not 550,000 then?
Michael Tong: Fifteen -- 515,000.
James Mitchell - Goldman Sachs: And if I could just ask a follow-up then, you mentioned in the prepared remarks that you might have a free-to-play version of Westward Journey III later in 2008. I guess in the past, you tended to say that because of game balance issues and so forth, you would rather not take your existing games down the free-to-play route but it sounds like you are changing your thinking on that.
Michael Tong: I have to make it clear on this -- what I was saying is that we are going to maintain two versions of Westward Journey III, so there will be one version of Westward Journey III where we are going to have a pay-by-time basis and a separate version of Westward Journey III which is based on a free-game item model.
James Mitchell - Goldman Sachs: Okay. That’s crystal clear. Thank you.
Operator: Thank you. Our next question comes from Alicia Yapp with Citigroup.
Alicia Yapp - Citigroup: Yes, good morning. In your press release -- I mean, in your prepared remarks, you mentioned that you are exploring the strategic licensing opportunity and in answering Richard’s questions, you also mentioned that you are still looking into it. Can you actually -- maybe you can tell us -- when you look at your pipeline and the gamers’ demand, what are the types of games that will help you attract a larger user base and what types of games that you would be most interested to bring into your pipeline?
Michael Tong: Well, again, as I answered Richard, I think there is not much more we can comment on the licensed game. All we can say is that we are working hard on it and we have several potential partners that we are talking to. But it would be very difficult to answer you in this way what type of game that we are looking at because that might reveal who are the licensors or the partners that we are actually talking to.
Alicia Yapp - Citigroup: I see. Okay, that’s fair. My second question is about the first quarter ’08 -- so when we look at your Q1 of the last two years, you posted about 9% sequential growth in 2006 and about 3% sequential growth in 2007. So in light of the snowstorm, which is a one-time event, do you see your Q1 reaching seasonally a strong quarter impacted by the weather? In other words, since you have strong, such strong 4Q results, as we are modeling for the Q108, how should we think about the sequential growth? Thank you.
Michael Tong: Well again, it’s very difficult to answer. I think the best way to answer it is that in general, the seasonality affects us in the way that the third quarter, where it is summer months, the longest period of time and where our demographics includes a lot of players who are still in school, then usually the third quarter is the strongest in the game business. Where in Q1 yes, of course there is also a winter break, which also usually shows a bit stronger based on the seasonality. So in a very general term, you can view it this way.
Alicia Yapp - Citigroup: And how should we think about -- is there any impact on the snowstorm to your first quarter this year?
Michael Tong: I really don’t have -- I really don’t have -- don’t look at that too much because the snowstorm is a short period of time and at the same time, it’s only affecting part of China. It’s not everywhere. Mainly in Hunan, Hubei and I don’t think it’s going to make much difference or make a big impact to the business.
Alicia Yapp - Citigroup: Okay, and then in light of your strong 4Q, should you still expect a sequential growth in Q1?
Michael Tong: That I cannot answer, sorry.
Alicia Yapp - Citigroup: Okay. All right, I’ll get back in the queue. Thank you.
Operator: Thank you. Our next question comes from Evan Wilson with Pacific Crest.
Evan Wilson - Pacific Crest Securities: Thanks for taking the questions. I’ve got a couple. First, relative to your strong game results in Q4, how much of that do you think reflects the release of the expansion pack of Fantasy Westward Journey and how much do you think reflects just strong overall growth in the market? So I guess another of asking would be do you think you gained a material amount of market share because of the expansion pack in Q4? And then the second question would be just if you could comment anecdotally on any sense of your business, the strength of your business during the Chinese New Year period? Thanks.
Michael Tong: Of course. I want to make it quite clear on the growth of the game business in the quarter four that yes, we definitely had a very good growth of the game business of around 8% to 9% this quarter on a quarter-to-quarter basis. We also have recorded growth, or sequential growth on a quarter-to-quarter basis on basically all the games. The one thing to bear in mind that another major reason for the growth of the overall business is because Westward Journey III is commercialized for the whole period of the quarter compared to only 18 days for Westward Journey III, which was commercialized in the third quarter. So quite a majority of the growth on an absolute number basis comes actually from the results of the commercialization period of this time. So I would say that it’s a very good thing that we see that, especially when we compare Westward Journey III either to Westward Journey II numbers on quarter four and it is a growth compared to Q3 on a quarterlized basis over Q2, with Westward Journey II by itself. And we are seeing that for Fantasy Westward Journey, there is also a small growth in quarter four but I would say that it’s more kind of a flat quarter because when you look at the ACU numbers, it’s basically flat and also when you look at the revenue numbers, it’s also basically flat. So it is a combination of actually what you say is partly the market growth and also partly the expansion pack that we have released in September of -- Q3, I mean Q3 of ’07. And it would be very difficult to answer you on which contributes more to the results of this but I would say usually Q4 and Q3 is, as I explained in the seasonality, that Q3 is usually a better quarter. So I would say the expansion pack definitely had a very good effect on expanding the lifecycle of Fantasy Westward Journey.
Evan Wilson - Pacific Crest Securities: Great, and if you could also, now that we are in February of 2008, if you’ve got any commentary on what you think the industry growth rate will be in the whole of calendar 2008, I’d appreciate that as well. Thank you.
Michael Tong: I think it would be difficult to say that because we are more on the MMORPG market right now and there is the free game market and there is also the casual game market. And I think usually when you look at the whole game industry, it consists of all these three kinds of games and we are looking at different figures. I think there has been a lot of industry reports reporting around like 40% or 35%, 40%, but that would be an industry that they are looking at consisting of all three kinds of games. And for the MMORPG and on the item-based, I think there will continue to be growth next year and also on the advanced game, advanced casual games because it’s a smaller basis, the growth is probably higher.
Evan Wilson - Pacific Crest Securities: Thanks.
Operator: Thank you. Our next question comes from Eddie Leung with Merrill Lynch. Please go ahead.
Ken Chang - Merrill Lynch : This is Ken Chang calling on behalf of Eddie Leung. I have two questions. I want to know how does management expect the wireless trend going forward? And can you provide a breakdown of the wireless business? And I also want to know what is the tax guidance for 2008? Thank you.
Michael Tong: On the -- you are asking on the wireless business, right?
Ken Chang - Merrill Lynch : Yes.
Michael Tong: I think for us the wireless business is an auxiliary business for us, in a way, where we can expand the content of our portal, the services and products we have on our portals and the game business. So what we are doing is really using the wireless as a channel to provide, for example, on the e-mails that the users can receive e-mails on the wireless, on their phones and so on, and for the content where they can read the content on the wireless, like hand phones and so on. And also for the games, where they can use their hand phones to protect their accounts and so on. We do not have much products or services that are specifically targeted to wireless business where, for example, like ringtones or specific [inaudible] and so on. So those are very immaterial to us. So that is really our strategy for the wireless business and -- so that’s for us. [I don’t know how to answer] your question, actually.
Ken Chang - Merrill Lynch : Okay. Thank you. Can we know the tax guidance for 2008?
Onward Choi: Tax guidance -- I think given that the PRC authorities have done a tax reform effective from the first of January 2008, and given that the detailed implementation rules of the how to execute the tax or the tax rate based on the preferential tax treatment that particular companies can receive, I think it would be too early to comment on the future tax rate at this moment. Because the most important point is that starting from 2008, even though companies like ourselves, which are under the high technology industries, would be -- probably got a chance to apply for the preferential tax treatment but not until the tax authority would grant us a confirmed evidence or confirmation on this treatment, it would be better for us to account for our tax based on the unified tax rate of 25%.
Ken Chang - Merrill Lynch : Okay. And one final question -- when do you expect to launch the expansion pack for the Fantasy Westward Journey going forward?
Michael Tong: The last one was -- the Fantasy Westward Journey, the expansion pack, the previous one was launched in September last year and so the next one, we are looking at should be around Q2, Q3 -- end of Q2, early Q3.
Ken Chang - Merrill Lynch : Okay. Thanks a lot.
Operator: Thank you. Our next question comes from Echo He with Oppenheimer. Please go ahead.
Echo He - Oppenheimer: I just want to ask -- have you penetrated the market deeper into more city areas? So is that going to -- I’m just thinking it might be a reason to add your peak concurrent user.
Michael Tong: I’m sorry -- how does it relate to the peak concurrent users?
Echo He - Oppenheimer: Right, yes. What’s the main source?
Michael Tong: What’s the main reason for the peak concurrent users new peak we have achieved in December, right, for Fantasy Westward Journey?
Echo He - Oppenheimer: Yes.
Michael Tong: I think it’s probably -- again, it’s probably because of the expansion pack that we have released, which suits the players’ needs. I think geographically, we continue to -- we have always been expanding over everywhere in China. And I don’t think it’s because of the geographic expansion. I think it’s a continued output of our marketing and channel guys. I think it’s more because the expansion pack has resulted in a good response from the users.
Echo He - Oppenheimer: Okay, so in other words, if this expansion pack gets a little bit older, you probably will lose some of the users you draw back from these expansion packs, right?
Michael Tong: That’s why we need -- yes, in some places, there’s -- there will always be some kind of users who are leaving us and the churn rate I believe has been quite consistent. That’s why we need and that’s why we have been developing new expansion pack on a very frequent and consistent basis and basically it’s around two expansion packs every year.
Echo He - Oppenheimer: Okay. How big is your sales force? I mean, the field sales people?
Michael Tong: Sales force for the game business?
Echo He - Oppenheimer: Yes.
Michael Tong: It actually consists of the marketing and the sales altogether. It’s around 100 people altogether. And we have -- sorry, it’s around 116 people nowadays. And between that, there will be the marketing people who are looking after the media posters, the PR and those things. But more importantly is the people who are looking after the channels where we are working with different ISPs in different provinces, regions, working with different Internet cafes, again in different places. You know, people who are on the ground who go to different provinces every day and all different kind of Internet cafés every day to make sure that our games are being distributed to the right places.
Echo He - Oppenheimer: Okay. Thank you so much. That’ll be my questions.
Operator: Thank you. Our next question comes from Andrey Glukhov, Brean Murray. Please go ahead.
Andrey Glukhov - Brean Murray, Carret & Co.: Thank you for taking the question. First of all, you guys have done a really good job managing sales and marketing expenses in the quarter. Can you maybe talk us through what do you expect to spend on some of your new upcoming game launches, like Tianxia II, Datang II? What sales and marketing expenses are you budgeting?
Michael Tong: I don’t have the -- I wouldn’t have the numbers to tell you on an absolute basis right now but on a relative basis, I would say the overall strategy is for us to focus more on the offline or on-ground promotion, where we have more people running around different places, different provinces on Internet cafés, ISPs, on those kind of cooperations, rather than we have more pure advertising type on TV, on media. And relatively, those would be -- you know, the budget is smaller compared to the -- I mean, it is smaller for on-ground compared to above the line type of advertising and promotion. So I think it would be relatively smaller but I won’t be able to give you an absolute figure on those.
Andrey Glukhov - Brean Murray, Carret & Co.: Okay, that’s helpful. And then secondly, as you are basically launching the item-based version of Westward Journey III, have you guys thought about doing something similar for Fantasy Westward Journey?
Michael Tong: No, we don’t.
Andrey Glukhov - Brean Murray, Carret & Co.: Okay. Thank you.
Operator: Thank you. Our next question is a follow-up question from James Mitchell with Goldman Sachs. Please go ahead.
James Mitchell - Goldman Sachs: Thank you for taking the follow-ups, which there’s two but the first one is if you look at the advertising business over the last two years and the deceleration and then the re-acceleration, how much of that story is Eachnet retrenching its spending with you versus how much is other factors?
Michael Tong: Not much from the e-commerce sector. Again, the e-commerce sector would not just include Eachnet. Eachnet is part of it but it is more than that. I would say it’s -- you know, it’s more of the traffic growth, it’s more of the better education of the whole market with NetEase as a very influential media in the market and with more of the management of -- managing our agencies and our direct sales. So on a number basis, the drop -- I mean, there has not been much. I mean -- how to say it -- I mean from the e-commerce clients, yes, they drop very much in Q4 and Q1 -- Q4 of ’06 and Q1 of ’07, but there hasn’t been much coming back. There is some coming back but not much, actually.
James Mitchell - Goldman Sachs: Okay, great. And then an unrelated question on the game business. I was quite impressed by the growth in average users for Westward Journey II in the quarter. To what extent should I view that as maybe a trend going forward and to what extent should I sort of say well, in the third quarter there was the distraction of Westward Journey III being free and so the fourth quarter is sort of a stabilization after that one-time distraction?
Michael Tong: It is a combination of the two, but I wouldn’t -- it’s hard to separate or to find out which is contributing more. But my guess is yes, I think that the effects from the distraction of Westward Journey III would be more objective in some way because there is a period of time where Westward Journey III is free of charge and distracted some of the Westward Journey II players [who get to play free of charge] for a while.
James Mitchell - Goldman Sachs: Okay, great. Thank you very much.
Operator: Thank you. Our next question comes from [Hia Gu] with SIG. Please go ahead.
Hia Gu - SIG: Good morning. Congratulations on a very good quarter. I have two questions. Actually, my first question, I apologize for that because I was cut off, so I may have missed this answer. The question is about would you please break down your game revenue among your games by percentage and what the PCUs and ACUs for each game?
Michael Tong: Basically maybe I will just give you a brief outline of our game titles proportions. Our main revenues would be coming from the Fantasy Westward Journey, which accounts for about 73%; whereas our Westward Journey II would account for about 19%; and the rest would be mainly coming from Westward Journey III, plus small amounts from the Datang and very nominal amounts from the [POPO] games.
Hia Gu - SIG: So you mean 19% from Fantasy Westward Journey II and 7.3% from Westward Journey Online?
Michael Tong: No, no -- no, Fantasy Westward Journey is 73%.
Hia Gu - SIG: Seventy-three? Okay.
Michael Tong: Yes, and Westward Journey II would be about 19%.
Hia Gu - SIG: Nineteen-percent, okay. Got it. And the --
Michael Tong: And you can take the rest, for the Westward Journey III would be about 7% and the rest would be a nominal amount for the Datang and POPO.
Hia Gu - SIG: Okay, got it. How about PCUs and ACUs?
Michael Tong: The ACU figures for Westward Journey II is 133,000 and the PCU numbers of the Westward Journey II was 387,000, whereas for the Fantasy Westward Journey, the ACU numbers --
Hia Gu - SIG: Sorry, Fantasy II --
Michael Tong: Yes, so for Fantasy Westward Journey, our ACUs would be 515,000 whereas the PCUs numbers would be 1.52 million.
Hia Gu - SIG: Yes.
Michael Tong: And for Westward Journey III, our ACU numbers would be 53,000 and the PCU numbers would be 153,000.
Hia Gu - SIG: Okay, and the second question is about among your top advertisers, what are the industries they belong to and how do you view the 2008 and 2009 growth trends?
Michael Tong: The top three industries would be the automotive, IT, and also -- IT meaning the telecommunications and then the high-tech equipment, like the mobiles, would be the third. So these would be the three main industries for us. And obviously for ’07, the highest growth rate I think amongst all the industries would be the financial institutions and it is -- it should be the same for all the portals. I think in ’08, it would be continued growth of the financial industries as one of the major growth drivers, in terms of growth rate. And then we continue to see automobile have a very strong growth in putting up more budgets from the traditional media to the Internet media. And there will be other several growth areas as well, the possibility of more domestic brands putting more budget from the traditional media into the Internet media.
Hia Gu - SIG: Okay, my last question, if I may -- you started to sell virtual items in your time-based models. How much growth in your game revenue was contributed by this part?
Michael Tong: It’s only a very small test and we don’t know if it is the right thing to do, so it’s just for a small experiment.
Hia Gu - SIG: Okay. Thank you.
Operator: Thank you. We have a follow-up question from Alicia Yapp with Citigroup. Please go ahead.
Alicia Yapp - Citigroup: Thank you for taking my follow-up question. My question was actually regarding the last question on how you were asked about the item-selling feature, because we’ve heard about you introducing that but it’s only a small test, right? And then going forward, are you going to continue that?
Michael Tong: We haven’t decided yet.
Alicia Yapp - Citigroup: Okay, and then on the housekeeping question, on the other line, can you help us understand what items are in there and what were the reasons of an increase [inaudible]?
Onward Choi: You mean the other net in the P&L?
Alicia Yapp - Citigroup: Yeah, other net below the operating.
Onward Choi: It’s mainly the exchange loss arising from our U.S. dollar deposits.
Alicia Yapp - Citigroup: Can you repeat that, sorry?
Onward Choi: It’s mainly the exchange loss arising from our U.S. dollar denominated deposits.
Alicia Yapp - Citigroup: Oh, FX. Okay, all right. Thank you.
Operator: Thank you. There are no further questions at this time. I will turn it over to management for any closing remarks.
Brandi Piacente: Thank you, everyone, again for joining us today. Please feel free to contact us if you have any questions. Thank you.
Operator: Ladies and gentlemen, this concludes the NetEase.com fourth quarter 2007 earnings conference call. If you’d like to listen to a replay of today’s conference, please dial 800-405-2236, or 303-590-3000 and enter passcode 11108212. ACT would like to thank you for your participation. You may now disconnect.